Operator: Welcome to the Lennox First Quarter Earnings Conference Call. All lines are currently in listen-only mode, and there will be a question-and-answer session at the end of the presentation. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the call over to Chelsey Pulcheon from Lennox Investor Relations. Chelsey, please go ahead.
Chelsey Pulcheon: Thank you, Margot. Good morning, everyone. Thank you for joining us as we share our 2025 first quarter results. Joining me today is CEO, Alok Maskara; and CFO, Michael Quenzer. Each will share their prepared remarks before we move to the Q&A session. Turning to Slide 2, a reminder that during today's call, we will be making certain forward-looking statements, which are subject to numerous risks and uncertainties as outlined on this page. We may also refer to certain non-GAAP financial measures that management considers relevant indicators of underlying business performance. Please refer to our SEC filings available on our Investor Relations website for additional details, including a reconciliation of GAAP to non-GAAP measures. The earnings release, today's presentation and the webcast archive link for today's call are available on our Investor Relations website at investor.lennox.com. Now please turn to Slide 3 as I turn the call over to our CEO, Alok Maskara.
Alok Maskara: Thank you, Chelsey. Good morning, everyone. Before we get into the details of our quarterly performance, I want to start by recognizing the incredible effort and adaptability of our team and the loyalty of our customers. The current trade environment has introduced several new uncertainties, and I'm proud of how our organization continues to respond with focus, agility and a commitment to improve our customers' experience. The ability to navigate these changes while staying grounded in our core values is what enables us to deliver differentiated growth in even the most complex environments. Let us turn to Slide 3 for an overview of our first quarter financials. Revenue this quarter grew 2%. Our segment margin was 14.5%, a decrease of 140 basis points. Operating cash usage was $36 million, which is typical, given the seasonality of our business. Adjusted earnings per share in this quarter were $3.37. We are seeing steady transitions towards new low GWP product across both Home Comfort and Building Climate segments. Current order rates in both the segments remain healthy as replacement demand continues to provide a solid foundation. In HCS, we did not experience much destocking in Q1, but continue to expect some destocking in the second quarter. In BCS, we had a slow start to the year, given the expected destocking and the timing of low GWP transitions. BCS margins were impacted due to short-term inefficiencies related to the manufacturing transition and new factory start-up. We now estimate that our full year adjusted earnings per share will be within the narrowed range of $22.25 to $23.50. This updated guidance includes all known and anticipated impacts of tariffs, including incremental price actions, inflation and potential volume softness. Now please turn to Slide 4 to review the tariff landscape and how it is influencing economic outlook in each of our segments. As we navigate the current global trade landscape, I want to highlight why we feel that Lennox is competitively positioned to deliver differentiated growth even during this period. Approximately 90% of our cost structure is in North America, which includes the USMCA compliance spend in Mexico. This spend is not directly impacted by tariffs but faces indirect tariff impacts, including price of commodities such as steel and aluminum. Approximately 10% of our spend faces direct impact of tariffs, and about half of that spend is from China. Our exposure to China manufactured products has been declining over the past few years, and the JV with Samsung is another big step towards reducing our exposure to tariffs on imports from China. We are actively pursuing longer-term tariff mitigation strategies, including production shifts to better serve our US and Canadian customers. We are also working closely with our supply partners on tariff sharing models and leveraging more US-based components to enhance flexibility within our North America network. Anything we cannot mitigate through these measures is being offset by pricing adjustments or surcharges. Majority of our manufacturing and distribution is in the United States, giving us the resilience and flexibility to win during these tariff and regulatory changes. We continue to invest in our supply chain with increased manufacturing capacity and by dual sourcing key components. The competitiveness of our supply chain is significantly stronger than it was during prior disruptions, including severe weather events and the pandemic. Through all of these, our focus remains on being a reliable and a transparent partner to our customers. As the trade landscape continues to evolve, we are confident in our ability to adapt while continuing to drive long-term value for all our stakeholders. In addition to the evolving tariff landscape, we are also closely monitoring key macroeconomic factors affecting both our Home Comfort and Building Climate Solutions segment. In HCS, consumer confidence and mortgage interest rates continue to influence homeowner decisions, particularly around new home construction and large renovation projects. Our replacement demand has remained relatively stable. And to date, we have not observed any adverse trends in the repair versus replace trade-off. In our BCS segment, monthly order rates improved sequentially as destocking ended during the quarter. Our full life cycle value proposition for key account continues to gain traction, resulting in incremental share gains. We are driving positive momentum due to increased availability of our emergency replacement products. But at the same time, we are mindful of potential delays and project slowdown related to both tariff impacts and the transition to new low GWP products. I will now hand it over to Michael to walk you through our financial results and full year guidance.
Michael Quenzer: Thank you, Alok. Good morning, everyone. Please turn to Slide 5. In the first quarter, we experienced complexities driven by the regulatory transition and rapidly changing tariff implications. Despite these challenges, we had solid execution and achieved a 2% revenue growth driven by favorable mix initiatives from our new R-454B products. These initiatives are progressing as expected and are poised to deliver more growth in the coming quarters. Segment profit was $11 million lower than the prior year, primarily due to the timing of LIFO accounting for tariff-related costs, which were recognized ahead of benefits from pricing actions. Additionally, BCS faced cost headwinds due to expected inefficiencies from the new factory ramp-up and regulatory transition, coupled with increased investments to support our emergency replacement growth initiative. Let's now turn to Slide 6 to review the Home Comfort Solutions segment performance. Home Comfort Solutions delivered another solid quarter, successfully managing challenging end markets as the industry transitions to the new low GWP equipment. This transition is progressing as expected, and our R-410A inventory levels are nearly depleted. Sales increased by 7%, driven by positive mix as approximately 50% of our equipment sales in the quarter were the new R-454B product. Price yields for this product were in line with our 10% expectation. Sales volumes were flat to prior year as the destocking headwinds from the fourth quarter of 2024 prebuy were offset by stocking of the new R-454B products. Operating margins declined due to tariff and commodity-related cost inflation as well as investments in distribution designed to enhance product availability. Moving on to Slide 7. The Building Climate Solutions segment experienced a 6% decline in revenue, with sales volumes down 9% due to expected destocking and delays in customer orders caused by the transition to the new R-454B product. Our emergency replacement initiative is showing steady progress, driving growth in this specific revenue segment. Additionally, our emergency replacement inventory is well positioned for the upcoming summer season. Although we encountered some customer order delays with the new R-454B product, the mix yield achieved on this new product met our expectations. Segment profit decreased by $25 million due to tariff-related cost headwinds, anticipated factory inefficiencies and increased SG&A investments to support our emergency replacement growth initiative. Turning to Slide 8. Let's review cash flow and capital deployment. In the first quarter, operating cash outflow was $36 million compared to $23 million in the prior year. This increase was primarily due to inventory investments aimed at enhancing customer experience through better fulfillment rates. After several years of significant capital expenditures to expand factory capacity, capital expenditures have now moderated in line with depreciation. We continue to prioritize our capital expenditure investments in front-end digital systems and initiatives to improve the efficiency of our distribution network. We maintained a strong balance sheet with net debt to adjusted EBITDA at 0.8 times, an improvement from 1.4 times in the prior year quarter. Amid ongoing global macroeconomic uncertainties, we remain committed to preserving a disciplined leverage profile while supporting strategic bolt-on M&A opportunities and efficiently returning excess capital through share repurchase programs. If you will now turn to Slide 9, I will review our 2025 full year guidance. Based on the first quarter results and the latest end market outlook, we are confirming our revenue growth of 2% and raising the lower end of our adjusted EPS guidance to $22.25 from $22. Consequently, our adjusted EPS guidance range is now $22.25 to $23.50. Since our last guidance, we have three key assumption changes. First, due to the tariff-related costs, we now expect our total cost inflation to be 9% compared to our previous guidance of 3%. This includes estimates for both direct tariffs and the secondary effects of tariffs on our suppliers. Second, to mitigate tariffs, we have implemented two new price increases effective early in the second quarter, which will boost our price gains to 7%, up from the previous guidance of 1%. Finally, due to the possible macroeconomic weakness and BCS order delays in the first quarter, we now anticipate sales volumes, excluding the impact of the 2024 prebuy destocking, to decrease by 4% compared to the previous guidance of a 2% increase. With that, please turn to Slide 10, and I'll turn it back over to Alok.
Alok Maskara: Thanks, Michael. Nice job. To close, I would like to highlight why Lennox remains a compelling opportunity for all our stakeholders, even amid today's uncertainties. The attractive growth of our industry, supported by steady replacement demand, provides a strong foundation for our growth initiatives. These initiatives drive growth through enhanced customer digital experiences, expansion in the ductless market via our Samsung joint venture, new capacity for commercial replacement products and the continued growth of our parts and services portfolio. We continue to expand our resilient profit margins to fully capture the benefit of being a manufacturer and a distributor through pricing, productivity and mix optimization. Our recent investment in upgrading our distribution network will further increase customer satisfaction while expanding our profit margins. Our commitment to consistent execution has been evident in how we have managed recent regulatory transitions while gaining share and expanding margins. Over the past few years, we have also delivered higher fill rates and Net Promoter Score, strengthened by customer experience and reduced customer churn. These wins are supported by the continued rollout of our Lennox Unified Management System, which provides a structured operating framework that drives accountability, process excellence and continuous improvement across the entire organization. We are making meaningful strides in advanced digital technology to upgrade both our product offerings and how customers interact with us. Upgrades to our e-commerce platform have simplified the customer journey, increased loyalty, and AI capabilities have improved attachment rates. We are also strengthening our competitive differentiation by leveraging our proprietary data assets. These proprietary data assets are best-in-class within the HVAC industry, given that we have been both a manufacturer and distributor for over 130 years. At the same time, we are broadening our ducted and ductless heat pump lineup to meet rising demand and are continuing to embed intelligent diagnostics and controls into our systems, helping our customers operate more efficiently and with greater confidence. Underpinning all of these investments is our talent and culture. Our high-performing team is grounded in our core values and guiding behaviors. Our pay-for-performance structure reinforces alignment, empowering our teams to focus on the levers that drive profitable growth. As I look forward, I remain confident that our best days are ahead. Thank you. We will be happy to take your questions now. Margot, let's go to Q&A.
Operator: [Operator Instructions] And we'll take our first question from Ryan Merkel with William Blair. Please go ahead.
Ryan Merkel: Hey, good morning, everyone, and good job with the script, given all the moving pieces. I wanted to start with the commercial.
Alok Maskara: Thanks, Ryan.
Ryan Merkel: Yeah, of course. I wanted to start with the commercial, which was the surprise for the quarter. Just talk about the order delays that you saw. Why was that? And then more importantly, are we past that issue? It sounds like orders have improved. Is that the right read?
Alok Maskara: Yeah. I think, Ryan, that's the right read. We had a very slow start, and we talked about destocking in commercial, but it happened sooner than we had anticipated. And essentially for the first few weeks of the quarter, everybody was waiting for the new products to get established, get their tools upgraded and people were just finishing up the jobs with 410A. But order rates improved sequentially. Our productivity also took a hit as changing these lines from 410 to 454B while moving some lines from Stuttgart to Saltillo, all of that, we were able to do because of the slowdown or pause in some of the sales. But yes, it's largely behind us. I would expect some inefficiencies to continue in Q2 but then we start lapping the startup costs that we were having last year. So I would think of it as more of a onetime event with some inefficiencies carrying into Q2.
Ryan Merkel: Got it. Okay. Helpful. And then my second question is just on the outlook. And I realize there's a lot of uncertainty, but can you talk about the decision to lower the resi volume to now, down mid-single-digits versus flat prior? And then commercial, same thing, down low single-digits versus up mid-single-digit prior. Just curious what the drivers are? And are you seeing any of that slowdown in April or are you just trying to get ahead of expected slowdown?
Alok Maskara: We are trying to get ahead of the expected slowdown, if there is any. We have not seen any slowdowns. In fact, Michael and I were checking our orders and everything right before the call. No, I mean, we have not seen any slowdown. We just read the same news you guys read. And if tariffs slow down the US economy with inflation, we are just prepared for that. I mean, it's highly uncertain, as you said. I think the core assumption which we stand behind is that if inflation and pricing causes any macro slowdown, like, you know our results are still going to be managed as we offset tariffs with pricing and volume declines will again get offset because we have additional pricing that will take effect. But our visibility is no more than anybody else's. And just to go back, we have not seen any slowdown in either of the segments right now.
Ryan Merkel: Got it. Thanks, Alok.
Operator: Thank you. We'll take our next question from Tommy Moll with Stephens. Please go ahead.
Tommy Moll: Good morning, and thank you for taking my questions.
Alok Maskara: Good morning, Tommy.
Tommy Moll: A couple of follow-ups for me on some of the same themes. First, on pricing, Alok, you -- or perhaps it was Michael in the prepared remarks, mentioned there were two increases effective early in the second quarter. What additional detail can you give us there? And did I correctly hear you say, Alok, one is more meant to offset tariffs? And one is more meant to offset volume declines? Or maybe I misunderstood there?
Alok Maskara: Yeah. So let me just clarify. So yes, we have done two price increase. I think the first one which is already in effect was done to offset changes in pricing for aluminum, copper. And I would call it that was to offset indirect impact of tariffs because tariffs was still a moving bogey at that stage. So that's in effect, and we have seen a good stick rate I think of mid-single-digits across both the segments. Second one which we announced last week is to offset the direct impact of tariffs, and that's another mid-single-digit price increase. Change is a little bit based on the product types but again, mid-single-digit overall impact. None of them, of course, is for volume softness because our customers are -- continue to buy, and we have to look at this purely to offset the cost impact of that. So two price increases, both mid-single-digits, and so far, pleased with the stick rate. And it's consistent with what we have seen other industries and the competition do as well. So from our perspective, this is all about just staying neutral and maintaining our margin profile.
Tommy Moll: Thank you, Alok. And then on the new volume assumptions for Home Comfort Solutions for the year, moving from flat previously to down mid-single. What can you tell us in terms of sell-in versus sell-through? Are you assuming balance there, new home versus replace market share assumptions? Any other key inputs into that new outlook would be appreciated. Thank you.
Alok Maskara: Sure. Let's start with the new home construction there, Tommy. We are assuming new home construction is going to be worse compared to what we had predicted when we gave the guidance earlier this year. So I think that's something. And we can see that from the start, some other pieces. So think of that as a little bit more data-driven versus like driven by future news and future expectations. We maintain the fact that there's going to be some destocking in Q2. So yes, we do expect there's delta between sell-in and sell-through. And we think that's going to largely happen in Q2 as 410 inventory depletes. Beyond that, there's just conservatism built into it based on everything that we are seeing, whether it's about reduction in forecasted growth rate. But there are just so many swings, Tommy. If we want to go be wrong, we want to be wrong on the conservative side, especially given some of our pricing actions.
Tommy Moll: Thank you, Alok. I’ll turn it back.
Operator: Thank you. And our next question comes from Jeff Hammond with KeyBanc. Please go ahead.
Jeff Hammond: Hey, good morning, guys.
Alok Maskara: Hi, Jeff.
Jeff Hammond: Hey. So I guess on the destock being more 2Q than 1Q, just any reason why that is? And I think you had said early on, the prebuy was pretty substantial and maybe you backed off of that and it was more share. And I didn't know if any of that change is reflected in the outlook?
Alok Maskara: Yeah, I think us, especially, we had a lot of 410A inventory remaining. So Q1, a lot of the sales were 410A. That's the reason we didn't see a significant impact of prebuy. Our view -- we haven't changed the numbers because remember, we talked about $125 million or so of prebuy. We talked about $25 million or so was probably commercial, $100 million or so residential, all with lots of -- like ranges and approximation error bars. I think the commercial is behind us. I think that's what we saw in Q1. Resi, we didn't experience it. So either it was mostly share gain, and there was no prebuy impact, which is highly unlikely. I still think there was prebuy and we're going to experience that in Q2 as others start depleting their 410A inventory. On the positive side, majority -- vast majority of our sales are now all 454B. And even the quarter in Q1 was 50-50. So it's been a smooth transition. It's been a good transition. But we are prepared for any prebuy impact in Q2. If it turns out to be share gain, then good for us.
Jeff Hammond: Okay. And then the tariff impact in 1Q seemed to be a little bit more than kind of what other companies are saying and just given that people have inventory. I didn't know how much of that is the initial Mexico-Canada tariffs that were higher, but now we have USMCA compliance kind of exclusion. So I'm just wondering, obviously, a lot of moving pieces, but is there a chance that maybe that US-Mexico impact gets better not versus 1Q?
Michael Quenzer: Jeff, what we saw in the first quarter was a little bit higher than others because we do LIFO-based accounting. So we expensed that almost as incurred, but we saw that mostly from Mexico on copper -- or on aluminum and steel tariffs coming through Mexico is where we saw that.
Alok Maskara: I hope you never have to use the word LIFO on an earnings call again, Jeff, but that's basically what it was. We do expect the impact of tariffs, assuming the rates don't change, to keep going down as our mitigation actions start yielding results. Right now, these are sort of unmitigated numbers that we got impacted by in Q1.
Jeff Hammond: Okay. Thanks for the help, guys.
Operator: Thank you. We'll take our next question from Joe O'Dea with Wells Fargo. Please go ahead.
Joe O’Dea: Hi, good morning. Just on the inflation guide and going from 3% to 9%, can you unpack that a little bit from a dollars perspective? And just sizing the dollar impact tied to metals, the dollar impact to China, anything else? And as we think about really trying to tie that to the pricing response to it. And then if you see any changes to tariffs kind of what that could mean for price?
Michael Quenzer: Sure. So overall, it was a 6% increase in the inflation guidance, predominantly on our total costs. So think of cost of goods sold plus SG&A. So about $4 billion of spend there annualized. The balance of the year, it's something less than that. So if you apply that 6% to $4 billion for the full year, it's about $240 million of additional cost. And a good portion of it would be China, where you can see our exposure is 5%. That cost has obviously doubled with the tariff. The balance is mostly related then in Mexico around steel and aluminum. And then we do see some secondary inputs into the United States. So even though we supply from a US supplier, they have tariff implications that we've made some estimates in there as well. But a good -- nearly 50% is almost related to China, which we continue to monitor, and we'll see how that progresses and do pricing adjustments, if necessary.
Joe O’Dea: And sorry, just the pricing that's been put in place in response to that, is that in any way tied to tariffs, such that if there's a change in the China tariff rate, that pricing changes? Or those are kind of list prices and you'll decide what to do based on how tariffs change?
Alok Maskara: No, there will be some correlation, right? I mean we're trying to be fair to all our stakeholders. So the second tariff that went into effect, some of that's through surcharges that could get withdrawn if the China tariffs go away or changes. So I think there's going to be some impact of that. And then we think from that perspective, our volume assumptions will turn out to be more conservative if the China tariff goes away and some of the economic impact of that is over as estimated in our guide.
Joe O’Dea: And then last one, just what is it that you source from China? And how does your China sourcing compare to competitors in the US? Overexposed, underexposed? Or are you seeing kind of similar type of exposure that require similar type of pricing?
Alok Maskara: Yeah. It depends on the competition, maybe much longer discussion. I mean, I'll tell you what we source are typically like a lot of electronics for our control boards. We do buy some motors from China. We do buy some of the smaller components, like parts and accessories from China. We don't source things like mini-splits that we used to source from China. That's our move to Samsung, who makes it in Korea. Given that and given what we know, we think we are underexposed to China versus other competition just because we've historically been a more US manufacturer. And over the past three years, the China spend has come down substantially. I mean a few years earlier, that would number would have been 3 times to 4 times as much. But we were focused on dual sourcing and near sourcing pretty aggressively over the past three years. So can't say for sure, it depends on the competition. But we also feel very confident that many of these products have alternate suppliers and we have mitigation strategies in place to continue reducing that number.
Joe O’Dea: Got it. Thank you.
Operator: And next, we'll go to Joe Ritchie with Goldman Sachs. Please go ahead.
Joe Ritchie: Hey, guys. Good morning.
Alok Maskara: Hi, Joe.
Joe Ritchie: So I think I'd like to start just on the Building Climate Solutions margins. I'm trying to think about how these margins will progress sequentially as the year goes on. So if you take a look at Slide 7, clearly, you've talked about the LIFO impact, product costs and other was roughly a $22 million impact. How does that look sequentially as we head into 2Q? And then if there's any other color you can give me on the rest of the year, that would be helpful.
Alok Maskara: Sure. I'll start, and then Michael will give you exact numbers. I would look at primarily these things as short-term inefficiencies related to manufacturing moves. Remember, we did a lot of moves in Q1 from 410A to 454B, moving some of our standard products to Saltillo, focusing Stuttgart on retooled machine so we can do configured products and create capacity for that. So I would say that is short-term inefficiencies that continue winding down. Now as you do it sequentially, and Michael will get into this with you in a minute, is remember, last year, factory start-up happened mostly in the second half, starting in Q2. So we started lapping some of those inefficiencies. By the end of the year, we should close at zero inefficiency. I mean, that's our goal. Michael, anything to add to that?
Michael Quenzer: So, Alok mentioned factory inefficiencies that will start to go. The other thing is we'll start to experience a full run rate on our mix. We'll start to transition more in the second quarter. We'll lap some of our year-over-year investments that we started to do last year within SG&A and then also expect to have some volume benefit in the second half of this year from the emergency replacement initiative. All of those should sequentially help margins.
Joe Ritchie: Got it. That's helpful. Maybe just a follow-up on that. Then as you're kind of thinking about second quarter specifically and the margins, like it sounds like there's still going to be a little bit of inefficiency there but like the margins should get materially better sequentially versus the first quarter. Is that a fair statement?
Alok Maskara: Yeah, I think that's a fair statement. Like, I hate to give quarterly guide. And with factories, you can't predict exactly which week things start getting back to normal but we have seen improvements and they'll sequentially get better.
Joe Ritchie: Okay. Great. All right, thanks guys.
Operator: Thank you. And next, we'll take our next question from Nigel Coe with Wolfe Research. Please go ahead.
Nigel Coe: Hi, thanks, good morning. Alok, I apologize, and you just said you don't like to give quarterly guidance. Just given the kind of the second half, first half dynamics and the kind the beat through from 1Q to 2Q, I was just curious if you were to like try and ring-fence the 2Q EPS versus the full year? And if you just eyeball the past 10 years, like low 30% percentage would be about the right number. Is that sort of the ballpark?
Michael Quenzer: I think maybe what we'll do is we'll speak toward the first half, second half revenue guidance. I think in the last earnings call, I said about 45% first half of the year for revenue seasonality, 55% second half. It still feels that that's appropriate. Think that implies about a kind of a flat revenue in the second quarter. As much as we can see right now, that seems like a good guide.
Nigel Coe: Okay. That's helpful. Thanks, Michael. And then just thinking about the A2L, there's a lot of chatter out there about shortages on the -- more on the refrigerant side than the equipment side. Just wondering kind of what -- how that's factored into your sort of second quarter perspective?
Alok Maskara: Yeah. We have -- I mean, I think the first part of industry, all the equipment manufacturers did a good job. So there's no shortage in equipment as you said. Where there is shortages in the retail service canister for R-454B, I think that's transitional migratory issues. Like, we are taking countermeasures, so are other manufacturers. There's enough refrigerant available in bulk situation. It's just not available in smaller packages. I don't think it fundamentally changes the demand profile, nor does it change anything else in the long-term. In the short term, they're just a skirmish to get those equipment for servicing. Now in practical perspective, our units are precharged. So if the installation is done right and in normal circumstances, you do not need this. It's mostly for service and repair. But it's more about dealer getting confident and not wanting to do a re-run. I expect the industry to be normal by the time we're talking again at the end of Q2 and beginning of Q3.
Nigel Coe: Okay. That’s great. Thanks, Alok.
Operator: Next, we'll go to Julian Mitchell with Barclays. Please go ahead.
Julian Mitchell: Hi, good morning. Maybe just a first question on the operating margin outlook, just total company. So I think before you said the core assumption was flattish for the year as a whole. It seems like that's still -- I think the framework -- but just wanted to check on that. And when we're thinking about the sort of rate of change year-on-year, if you're flat for the year and down 140 bps or so in the first quarter, I think you mentioned a steady improvement. So is the way to think about that sort of flattish margin second quarter year-on-year and then you get that growth in the back half? Is that the right dynamic on operating margins, just kind of thinking about tariffs and the Mexican plant ramp-up and so forth?
Michael Quenzer: Yeah, I think that's pretty much implied in the guide. Right now, we're assuming about flat margins full year for the enterprise. That would assume about a 50 basis point improvement in the balance of the year, mostly around BCS. I mentioned a few of those initiatives that live margins will expand their mix kind of year-over-year investments tripping those as well as some volume gains as well as factoring efficiencies. That's really where the margin gain is going to happen in the balance of the year is on the BCS side.
Alok Maskara: Yeah. And, Julian, if I could add to that, the good or the bad news here is that this is all internally caused pain, right? I mean it was our manufacturing moves, we knew this was going to happen. And it's all internal factors that we can fix. It's not related to external factors. We are actually pleased with the pricing stick rate. We are pleased with how we are able to pass on tariffs. This is simply like our ongoing issue, which we talked about last year as well. Starting a new factory, moving production, we're just doing it cautiously to make sure there's no supply chain disruption. So overall, I'm not concerned about any long-term challenges here.
Julian Mitchell: That's helpful. Thank you. And then just my second one, just trying to circle back to the Slide 9, which is very helpful and the pieces there on the price assumption going up 6 points from previously and the volume assumption coming down, I think, 6 points from previously. So just thinking about those two moving pieces, I think part of it is an anticipated deceleration in broader sort of macro and so on. But just trying to understand, are you just assuming sort of one-for-one offset or elasticity there of higher price equals the volume reduction or is there some other items in there that we need to think about? And just what's the historical experience around price elasticity of volume demand, if you could give us any color there?
Alok Maskara: Sure. Julian, it turns out that they turn to be nearly equal, as you said, roughly 6%, right? But if you take the volume piece and we get deeper into that, we have taken a significant slowdown in new construction, both in HCS and BCS, and we see some of those signs already in industry data. Rest all, it was based on consumer confidence softness, mortgage interest rates and all the other things we see around decline in consumer confidence. Our products are mostly replacement, and they are like a necessary must do have. So, the impact to us is going to be lower than some of the other discretionary spend since it's not discretionary. But we sort of took all of that and given limited visibility, we just wanted to draw a line in the sand and have that dialogue that we're having right now. I mean this could all change if the China tariff gets withdrawn tomorrow and the impact is less, and then we would look simply look at lower pricing and higher volume in that case. We just want to give you a framework to analyze and get our thoughts together.
Julian Mitchell: Great. Thank you.
Operator: Thank you. And next, we'll go to Jeff Sprague with Vertical Research. Please go ahead.
Jeff Sprague: Hey, thank you. Good morning, everyone. I just want to come back, just thinking about the destock happening or continuing into Q2. On a kind of a gross dollar basis, I mean, your sequential inventories to me don't look too different than what's normal. So I just kind of want to understand the view on the Q2 destock, right? You're out of 410A, you're selling 454B now. So your view is just in the channel, there's still excessive inventory that kind of backs up to you on the demand side in Q2? If you could elaborate on that at all, I'd appreciate it.
Alok Maskara: Sure. So, Jeff, I think your last statement is what we are trying to reflect is that in the channel, which, remember, 30% of our sales are through indirect/go through distributor. In that, we believe there is 410A that everybody will try and get out of in Q2. And they may pause ordering 454B product, especially given Q2 is heavy, and that's where sort of the cooling season typical seasonality works. A lot of the distributors are going to try and run the entire cooling season with 410A if they have enough inventory. Because remember, it's still lower cost to them. So that's out of the assumption. We don't have any further visibility compared to when we spoke last year where we said, hey, overall 125, BCS, roughly 25. That, we are confident, is behind us. HCS is 100. It's going to be less than 100 because some of it was share gain. And when we shake start by the end of Q2, we'll have greater visibility. But we do think there's some impact or air pocket in Q2 as distributors run out of 410A, and only then they start entering 454B.
Jeff Sprague: Yeah. It doesn't sound like there's any reason to believe, though, they make it through the whole season on 410A, right? There's just not enough out there. So I guess a lot of this hinges on just doesn't get hot and all those sorts of things in terms of when they pivot back to kind of refilling on 454B. Is that the way you're thinking about it?
Michael Quenzer: Yeah. There's also a rule within the transition they have to sell by the end of the year. So I think that also helps to make sure that this is all going to sell through. We expect it to sell through in the second quarter into third quarter.
Alok Maskara: And you're generally right, there's not enough 410A to last the entire cooling season unless we have a really, really cold summer.
Jeff Sprague: Okay, great. Thank you, guys. Appreciate it.
Operator: Thank you. And next, we'll go to Noah Kaye with Oppenheimer. Please go ahead.
Noah Kaye: Thanks. I was just going to follow up on Jeff's question. So can you talk about the behavior of the direct versus the two-step in 1Q? What the volume behavior was like in those two different parts of the Home Comfort Solutions?
Michael Quenzer: Yeah. So in the Home Comfort Solutions, in the first quarter, we saw total revenue up 11% in the two-step, up 5% in one-step. So we continue to see some of that sell-through of the 410A and the two-step in the first quarter.
Noah Kaye: Okay. And you're thinking that, that kind of reverses here in 2Q, just to unpack your prior comments?
Alok Maskara: Yeah. That's the underlying assumption right now.
Noah Kaye: Great. And there's a ton of moving pieces here. You guys, as others, have done a nice job of detailing your assumptions assuming the status quo, right? Can you help us understand what a scenario might look like if USMCA exemptions were no longer to be in effect, at least the kinds of discussions that you've had with customers around that and what we might expect to see from the company?
Alok Maskara: Yeah. I mean, that's a very hard thing to speculate on, but I'll tell you because there was certain days when we woke up and we thought that's exactly what's going to happen. And -- right? I mean, in our discussions that customers have in that scenario, there's going to be some mix impact because products made in the US, which, remember, we have a majority of our manufacturing still in the US would probably accelerate and products from Mexico, we will still offset it through productivity. Peso will probably decline. That will help us offset some of those bigger pieces there as well. And then we'll have to offset that price. So actually, that will make our mix go more towards premium products, which are more likely to made in the US, and those are higher margin for us versus lower tier products in Mexico. But there's going to be a series of short-term and long-term actions that we have already outlined and we kind of have it in our back pocket if that happens. And too early to kind of speculate through that. I mean, it's almost like we were hoping that's not the announcement that comes in while we are on a conference call. I mean, that was in Michael's and my worst nightmare, that there'll be a tweet that we missed while we're sitting on the call. But we have multiple scenarios planned. We have key action item planned. The team is very disciplined. The dealers have terms of confidence in us right now that we are doing the right thing by protecting their business, protecting the supply chain and being fair in passing on those costs as appropriate.
Noah Kaye: Yeah. If anything, the news we're getting this morning suggests we may be going the other way, which is a positive. So -- but I appreciate the thoughts, and thanks again.
Operator: And next, we're going to go to Chris Snyder with Morgan Stanley. Please go ahead.
Chris Snyder: Thank you for the question. I guess just maybe on the topic of consumer elasticity in the repair versus replace. Of all the price that's coming through, whether it be the refrigerant changeover or the tariff commodity-related price, I'm just wondering how much is the homeowner feeling of that today? Because it seems like that is still a bit on the horizon for them. And as that cost -- or that higher price comes through, what do you think of the risk on a -- maybe a more significant volume response just as that price hits them? Or maybe it already has? Thank you.
Alok Maskara: Sure. Chris, I would say that the risk of homeowner price elasticity on replacement remains very low. A few things to keep in mind, right? The price that the homeowner sees is our equipment price, plus the installation, plus the access fees, plus the dealer profits, plus the distributor profit often. So if you pull all of that together, a 5% or 10% increase in equipment does not translate to 5% to 10% increase for the homeowners. In the past, sometimes, it was higher than equipment price increase as there was significant labor shortage, and there's a lot of consolidation on the dealer base. In today's tariff environment, I think it's going to be lower to the homeowner because there's no reason to markup labor and installation because those do not get impacted by tariff. So net-net, I don't think there's going to be a significant impact on the homeowner. This will remain a nondiscretionary spend. The impact that we are baking in is mostly around the new home construction in general, slowdown in home sales. Because some of the sales do happen post a home sale even if it's a used one. The repair versus replace, we called it out in the script. That is a possibility if consumer confidence goes much lower and people are going to be looking to save cost. And we monitor for that very closely. And so far, year-to-date, we have not seen any signs of that.
Chris Snyder: Thank you. I appreciate that. And then -- but I guess, just kind of following up, if you guys started shipping the 454B, it sounds like in maybe the back half of Q1. And then you put through the tariff-related price increases at the start of Q2, I believe you said in the script. Like, as that kind of flows through the channel and ultimately finds its way to the consumer, does that start hitting in Q2? Or do you think those prices start hitting in Q3? Because I know there's just some lag between when you guys sell it and it finds its way to the homeowner. Thank you.
Alok Maskara: It will start happening in Q2. It's already happening. Our first price increase is already making it to the homeowners, and we have seen no change in the demand pattern.
Chris Snyder: Thank you. I appreciate that.
Operator: Thank you. And next, we're going to go to Brett Linzey with Mizuho. Please go ahead.
Brett Linzey: Hey, good morning, all. I wanted to come back to the commercial business and the R-454 transition delays. Was this solely product availability or are you seeing some price sensitivity on the new products and the price uptake there?
Alok Maskara: No, it was not product availability, at least not for us. And I think that's generally true for the industry as well, Brett. It was mostly driven by people finishing the 410A jobs and then getting their people/employees trained in the new 454B and some hesitancy when nobody wanted to be the first one to install a 454B on a rooftop and people are trying to make sure that the jobs when you do rooftop replacement that they have all 18 of the rooftop in 454B, they want to mix rooftops in there. So I think a launch of this was around key accounts planfully finishing up 410A. So, I'll put some of that in the destocking bucket, and some of that and just people wanting to make sure that there was availability of inventory and more importantly, trained technicians and sensors and tools and altogether. So we think of it in short-term air pocket. A little worse than we had hoped for, but not completely unexpected.
Brett Linzey: Got it. So more of a learning curve. And then maybe just on commercial volumes in the first quarter, the down 9. How did that track relative to expectations? And then maybe any color by vertical? I know the full year outlook for commercial, it does contemplate some accelerating in the two-year stack. Is that just the emergency replacement capture that you see ramping there?
Michael Quenzer: Yeah. Within the first quarter, about half of the 9% volume decline was the destocking. So that happened as expected. The rest was the order delays, which Alok just mentioned, kind of brought across most of our large national accounts. And then going forward, yes, we do expect to see as you get into the season, Q2 and Q3, we'll start to see that emergency replacement initiative start to pay off.
Alok Maskara: And if I could just piggyback on that, we are very optimistic based on the emergency replacement rollout, the pilots and the early signs that we have there. So that's one reason we are looking forward to more optimism especially on our piece, even if the industry has slowed down. Because for the first time in multiple years, we have the products in stock, we have our folks trained. We have delivered within a day and coursed back within two hours. So we're pretty optimistic on that right now.
Brett Linzey: Appreciate the detail.
Operator: Next, we'll go to Deane Dray with RBC Capital Markets. Please go ahead.
Deane Dray: Thank you. Good morning, everyone.
Alok Maskara: Good morning, Deane.
Deane Dray: I'd like to circle back on the surcharges, it came up a couple of different times. And can you just clarify, when you talk about the two price increases, are those full pricing increases? Because the assumption is a surcharge gets rolled back at some point. So some clarification there. And when and how do you use surcharges?
Alok Maskara: Yeah. it really depends a lot on the business, but to be overly simplistic with the answer, think of the first price increase as a price increase, a traditional one, and the second one more as a surcharge, and I think the numbers will come down. So the second one, because there was mostly around the 10% global import duty and the China tariffs, we did that as a surcharge. Again, not all of it was a surcharge as some customer systems can't deal with surcharges but we would think of the first one is more permanent and second is transitionary/open to adoption and changes as a tariff environment adapts and changes.
Deane Dray: Okay. That's really helpful and thanks for that clarification. And then just to circle back on the emergency replacement, Michael said you're expecting the inventory is now in place. You got people trained. What is the timing of the lift that you're expecting? Like how much of your mix should it be on a run rate basis by year-end?
Michael Quenzer: Right now, it's still a very small piece of our business, but we're going to continue to see it grow. And again, it's a seasonal product. So as we get into the second and third quarter with the inventory we have, that's where we should really start to see some of that growth come in for the season.
Alok Maskara: Michael's right, overall remains a small portion, right? I mean a long-term growth aspiration start delivering results this year but this should be a tailwind for multiple years.
Deane Dray: Was it a cash flow drag in terms of positioning the inventory?
Alok Maskara: A little bit but the HCS and the others inventory kind of made up for it in terms of -- we were building up the 410A in the past. So it wasn't significant, Deane.
Deane Dray: Thank you.
Operator: Next, we'll go to Nicole DeBlase with Deutsche Bank. Please go ahead.
Nicole DeBlase: Yeah. Thanks. Good morning, guys.
Alok Maskara: Hi, Nicole.
Nicole DeBlase: I guess I also wanted to ask a follow-up on emergency replacement. You guys have been making the investment in the sales force. I think it was an $8 million drag in the first quarter. Are we kind of coming to the end of that sales force investment? Or is that something that's going to continue throughout the rest of 2025?
Alok Maskara: No, it's ended. We made all those investments last year. I mean, right now, it's more that the -- we did not have this investment last year. So on a year-over-year basis, by the time to get to the second half, we'll be lapping itself on the investments. But there's no more incremental investment required at this stage.
Nicole DeBlase: Okay. Got it. That's clear. Thanks. And then just on buybacks. I saw you guys did like $85 million in the first quarter. Market has obviously been weak. I guess, how are you guys thinking about the rest of the year in terms of repurchase activity? Thank you.
Michael Quenzer: Yeah, sure. So we have programs to buy back for dilution. So that kind of continues on, and then thereafter, we're going to be opportunistic. We're going to continue to look at bolt-on acquisitions. And obviously, we're going to be very disciplined on that. And with share repurchase, opportunistic share repurchases will be a portion of our deployment strategy.
Alok Maskara: You can expect a lot more buyback than we did last year, especially at these prices, right?
Nicole DeBlase: Makes sense. Thanks, guys. I’ll pass it on.
Operator: Thank you. We'll next go to Steve Tusa with JPMorgan. Please go ahead.
Steve Tusa: Hi, good morning.
Alok Maskara: Hi, Steve.
Steve Tusa: Just trying to get a little bit more color on what's going on with this 454B refrigerant issue. Honeywell is out with obviously a pretty dramatic price increase, maybe that's what you're referring to on the retail side. But maybe just describe what you're seeing in the channel? And I guess you're saying that you do not expect this to impact industry volumes at all, given it's kind of, I guess, an aftermarket thing?
Alok Maskara: Yeah. It is an aftermarket thing. I mean dealers, it impacts dealers' confidence because they want to carry. So everybody might be experiencing different things, right? So let me just talk about Lennox. So we have no shortage of 454B for our production. And we're obviously working with our suppliers, the two suppliers we have to make sure that we get appropriate fair pricing because some of them are impacted on tariffs. And any indirect impact of tariffs through that is already captured in our overall inflation number. What we have heard from our dealers and contractors is there is shortage of retail canisters. So these are the Worthington-made tanks that they carry in their truck for service and repairs. They're not enough of 454B of those. I think that's where the shortage is. It's kind of unrelated to the Honeywell announcement, which also impacts the retail, and there's just a shortage of that, purely driven by filling capacity and purely driven by availability of tanks. And we think both of those should be behind us and the industry by the end of Q2.
Steve Tusa: So then what is the Honeywell price increase of -- the 40% increase they put through, like what is that related to?
Alok Maskara: It doesn't relate to us. So that's probably something different. You'll have to ask them, Steve, but it does not relate it to us. I mean we have contractual price that we entered in last year. So maybe it's applies to people who did not into contractual price or retail canisters.
Steve Tusa: Yeah. That makes some sense. And then just lastly on commercial. I guess you guys are saying this is temporary and not really a macro thing out there. Were there any particular verticals where you saw more of a prebuy than others or more of a kind of a destock than others?
Alok Maskara: We saw it pretty uniform across the different verticals. I mean, clearly, the retailers have more control over these projects on doing a full floor sweep. Emergency replacement, you can't really plan, just by the nature of that. So yes, it was on the key account and a full roof replacement. Our volume assumption and what we saw, we did build in slowdown in commercial new construction, which is only a small portion of our sales. Most of our sales are replacement. So that's why we sort of built in. And obviously, since we didn't have Q1, so we built in the Q1 impact into the full year guide as well.
Steve Tusa: Okay. Great. Thanks for the color as always.
Operator: Thank you. And our last question comes from Damian Karas with UBS. Please go ahead.
Damian Karas: Hey, good morning, everyone. Thanks for squeezing me in.
Alok Maskara: Good morning, Damian.
Damian Karas: Good morning, Alok. So it sounds like you've taken a few rounds of pricing actions so far, the latter in response to tariffs. Could you just maybe talk a little bit about how your pricing actions have been aligning with what you're seeing from your peers? I mean, would you say it's been a pretty tight range out there? Or are you seeing any notable deviations in pricing behaviors?
Alok Maskara: I think just like we have seen in the past, there's been a fairly tight range. Sometimes the announcements, language that is public could lead to a different conclusion. But when we get market intelligence back, I think everybody is in a very tight range here. And it's -- in some cases, we are at a competitive advantage. Since we buy our mini-splits from Korea, I think that puts us in a better position than others. But that's just more supply chain related impact-on-pricing. But if we bought stuff from China, we would do the same price increase as others are doing. So fairly tight range.
Damian Karas: Okay. Got it. That makes sense. And then just a model cleanup question here. So you saw a pretty nice step down in the corporate expense in the first quarter. Just wondering if there's anything to that? And what's a good way to think about that line item going forward? Thanks.
Michael Quenzer: Yeah, that's just related to some timing of the expenses and the allocation. So for the full year, still expected to about flat to slightly down to 2024.
Operator: Thank you for joining us today. Since there are no further questions, this will conclude Lennox's 2025 quarter conference call. You may disconnect your lines at this time.